Operator: Hello, and welcome to the webcast entitled WWE Second Quarter Earnings.   I will now turn the call over to Michael Weitz, SVP, Financial Planning and Investor Relations. Please go ahead Michael.
Michael Weitz: Thank you, Keith and good afternoon, everyone. Welcome to WWE's Second Quarter 2021 Earnings Conference Call. Leading today's discussion are Vince McMahon, WWE's Chairman and CEO; Nick Khan, WWE's President and Chief Revenue Officer; Stephanie McMahon, WWE's Chief Brand Officer; and Kristina Salen, WWE's Chief Financial Officer. Their remarks will be followed by a Q&A session. We issued our second quarter earnings release this afternoon and have posted the release, our earnings presentation and other supporting materials on our Web site.
Vince McMahon: Thank you, Michael. We have generated solid second quarter financial results as we focused on client engagement and creating efficiency in our content and production. We have positive trends and are evident in the demand for our live event ticket sales, as well as our television ratings and digital consumption. Live events that have aired through July 26th have been at closer at full capacity. We have advances for our live events that look excellent, including I might add SummerSlam, which would be the largest SummerSlam event we've ever had here in the United States. Television ratings for our initial shows were up significantly. First time we've played before a live crowd would be 16, on July 16. It was up 42% increase in the 18-49 demo, which is extraordinary. We're all up 15% as well. In the quarter, we implemented certain organizational changes that will also increase efficiency and our content production. I'll let Cristina give you a little bit more information on that. But looking ahead, we believe we can take advantage of the evolving business environment as we always have, build engagement, develop new business that will drive growth.
Nick Khan: Thanks Vince. I appreciate it. And thank you everyone for calling in. Nice to speak with you all again. As always, we'd like to start with some industry perspective. In our last earnings call, we discussed how earlier this year, the NFL, NHL and Major League Baseball realized substantial increases in the rights fees for their license programs even with lower of linear television ratings. The NFL saw media rights increase of 79%, the NHL more than tripled its media rights AAV and Major League Baseball is getting a higher per game rate as part of its new Disney deal.
Stephanie McMahon: Thank you, Nick. This is an exciting time for our business. Although, we don't know precisely what the future holds, the return to our live events touring positions us at an inflection point in terms of our potential fan engagement and financial performance. As Nick mentioned, we returned to live event touring with fans in attendance on July 16th for the first time in well over a year. As a small aside, Triple H and I went outside to greet our fans in person before doors opened at the Toyota Center in Houston and the feeling was overwhelming. It was akin to a giant family reunion and we welcomed everyone home with open arms. And the energy and excitement has only picked up, especially with the return of one of our biggest superstars, John Cena, kicking off what we have branded the Summer of Cena taking us into SummerSlam. Our partners NBCU and Fox supported our return with different campaigns airing across their respective platforms and programming. From a production standpoint, WWE applied key learnings and techniques from producing virtual and physical television to upgrade our audio and visual experience, including the use of a 40 foot tall by 80 foot wide state-of-the-art curved led display for superstar entrances. In addition, we are utilizing Epic's Unreal Engine 3D creation tool to generate a wide variety of augmented reality elements and surroundings, bringing our superstars to life in ways we have never done before. Costs associated are on par with 2019 per episode costs on average and we have seen the results translate into linear viewership. As Vince was mentioning earlier, the July 16 episode of SmackDown generated a 21% year-over-year increase in total viewers and 42% increase in the coveted 18 to 49 demo. Similarly, the July 19 episode of RAW generated an 8% year-over-year increase in total viewers and a 15% increase in the 18 to 49 demo.
Kristina Salen: Thank you, Stephanie, and hello to WWE shareholders. Today, I'll discuss WWE's financial performance. As a reminder, all comparisons are versus the year ago quarter, unless I say otherwise. In the second quarter, WWE generated solid financial results as we focused on driving fan engagement, strengthening our organization and increasing efficiency in our content production. Total WWE revenue was $265.6 million, an increase of 19%, reflecting the increased monetization of content across platforms, including growth from the staging of WrestleMania with ticketed fans in attendance. Adjusted OIBDA declined 7% to $68.1 million, primarily due to higher television production expenses associated with the staging of WWE ThunderDome and to a lesser extent, WrestleMania at Raymond James Stadium, both of which were produced in our Performance Center a year ago. In addition, adjusted OIBDA was impacted by increased personnel expenses as our employees fully returned from furlough by the end of 2020. Finally, during the quarter, we combined WWE's television, digital and studio teams into one organization for a more unified content strategy and more streamlined content production. The related severance expense of $8.1 million has been excluded from adjusted OIBDA as a material nonrecurring item. To review the second quarter performance in more detail, let's turn to Slide 3 of the presentation, which shows revenue, operating income and adjusted OIBDA contribution by segment. Looking at the WWE Media segment, adjusted OIBDA was $86.2 million, a decline of 5%, as increased revenue and profits from WWE's licensing agreement with Peacock, and the escalation of core content rights fees were more than offset by increased production expenses. Despite what continues to be a challenging environment, WWE produced a significant amount of content, more than 680 hours in the quarter across television, streaming and social platform. At the start of the quarter, we transitioned WWE ThunderDome from Tropicana Field in St. Petersburg, Florida to the Yingling Center in Tampa Bay. Recall that in the second quarter of 2020, we are producing a barebones production out of our Performance Center in Orlando. While our operating results continue to be impacted by the year-over-year increase in production expenses associated with bringing nearly 1,000 live virtual fans into our show, we also continue to achieve greater production efficiencies relative to our own expectations. With the return to touring in July, we expect that production expenses for Raw and SmackDown will continue to decline on a sequential quarter basis, approximating their average per episode cost in 2019. This is a tremendous feat from our television production team, which created the award-winning ThunderDome environment using state-of-the-art technology, all while producing shows every single week throughout the pandemic with a constant eye on efficiency. efficiency. Now let's turn to WWE's live events business on Slide 5 of the presentation. Live events’ adjusted OIBDA was $1.1 million, increasing $5.3 million due to an 8 times increase in revenue with the staging of WrestleMania. This premier event entertained ticketed fans and an audience of over 50,000. Recall that in the year ago quarter, we staged no live events with ticketed fans. As we have said, we are thrilled by the return of regular ticketed events. Currently, for our announced touring schedule, we anticipate ticket demand and profit per event that is at least on par with 2019. The improved performance reflects heightened consumer demand and a more analytic, efficiency oriented approach by our live events team in the scheduling, routing and staging of our events. Looking at WWE's Consumer Products segment on Slide 6 of the presentation, adjusted OIBDA was $8.4 million, growing 4% due to a change in product mix as higher royalties from the sale of licensed toys and increased merchandise sales at our WrestleMania venue were nearly offset by lower e-commerce. The modest decline in sales on our e-commerce site, WWE Shop, reflected a tough comparison to strong COVID related sales in the prior year quarter. As a reminder, in the second quarter last year and in each quarter through year-end 2020, growth in e-commerce revenue nearly offset the absence of venue merchandise revenues due to the cancellation of live events. In previous earnings calls, we have discussed how the introduction of new products, such as new toys, title belts and mobile games have generated growth in WWE's consumer products business. This quarter, I'd like to focus on how we're applying technology to enhance product sales. During the quarter, we introduced a new branded app at WrestleMania for preordering merchandise. The app enables our fans to order merchandise before as well as during the event and to pick up merchandise at a specific location within the venue. This means that at key upcoming events, such as SummerSlam, we can expand the sales window and increase sales volume without significantly increasing the number of transaction sites. Now let's turn to WWE's overall cash generation, as shown on Slide 7 of the presentation. During the quarter, WWE generated approximately $13 million in free cash flow, declining $54 million, primarily due to the timing of collections associated with network revenue and to a lesser extent lower operating performance. During the second quarter, WWE returned approximately $28 million of capital to shareholders, including $19 million in share repurchases and $9 million in dividends paid. To date, more than $177 million of stock has been repurchased, representing approximately 35% of the authorization under our $500 million repurchase program. As of June 30, 2021, WWE held approximately $443 million in cash and short term investments. Debt totaled $220 million, including $198 million associated with WWE’s convertible notes. The company has not drawn down on its revolving line of credit and estimates relative debt capacity of approximately $200 million. And finally, a word on WWE's business outlook. In January, WWE issued adjusted OIBDA guidance of $270 million to $305 million for the full year 2021. During the second quarter, key performance metrics demonstrated positive trends and we continue to realize better-than-expected television production efficiencies, stronger sponsorship sales and heightened demand for live events. However, we are not adjusting full year 2021 guidance at this time, given ongoing caution regarding the potential impact of COVID-19 and its variants on WWE's operations. For the third quarter 2021, we estimate adjusted OIBDA will decline. Incremental profit from the return to live event touring and the growth of content rights fees will be more than offset by increased television production and other operating expenses. As a reminder, the majority of the third quarter of 2020, we remained in our Performance Center in Orlando, Florida, the site where we have the lowest production costs. We did not move into WWE ThunderDome until the end of August 2020. So beginning in the fourth quarter of 2021, we expect more favorable year-over-year comparisons of television production expenses, as well as sustained profits from our return to touring. However, given the ongoing uncertainty regarding the potential impact of COVID-19 and its variants, we are not receiving more specific quarterly guidance at this time. Finally, turning to WWE's capital expenditures. As mentioned last quarter, we anticipate spending on the company's new headquarters as we restart this project in the second half of 2021. For 2021, we've estimated total CapEx of $85 million to $105 million to begin construction as well as to enhance WWE's production and technology infrastructure. The increase in capital expenditures for 2021 reflects the acceleration of certain construction spend as the overall cost of construction has not materially increased. The total net cost of the company's new headquarters through completion and net of tenant incentives, tax credits and other capital offsets is estimated within a range of $160 million to $180 million. In the second quarter, WWE generated solid financial results as we prepared for WWE's return to live event touring. Positive trends in WWE's key performance metrics and expectations of sustained performance reinforce our belief that continued innovation can enhance WWE fan engagement and drive the value of our content and products. That concludes our remarks, and I'll turn it back to Michael.
Michael Weitz: Thank you, Kristina. Operator Keith, we're ready for questions. Please open the line.
Operator:  We'll take our first question from David Karnovsky with JPMorgan.
David Karnovsky: Nick, you've been really accurate with your predictions on the sports rights landscape, including the college conference news we saw this week. As you noted, soccer rights generally have seen an uptick in value that they're utilized by streaming. And I'd love your perspective on what's driving this and maybe where you believe the value proposition of WWE is similar?
Nick Khan: Just so I can repeat it back to you. It's a little shaky, the audio on this end. You're asking about the soccer rights, am I correct?
David Karnovsky: Just how you view WWE as similar in the value proposition to streaming?
Nick Khan: I think there's a couple of things, soccer/international football, as we know, the number one sport globally. We see the global positives for our brand, certainly not equal to soccer but appealing on the scale that soccer has been appealing to many, many different countries. So even if you look at that La Liga rights deal, which I referenced, that's a significant deal for a property that takes place almost exclusively out of the United States. So there's an audience now as we know as of 15 to 20 years ago, the world is flat. We think soccer is a beneficiary of that. We think we're a beneficiary of that. And we think there's going to be more of those types of deals out there.
David Karnovsky: And then just maybe for Kristen. Can you say how many international events are embedded in your guidance, either at the higher low end, has this shifted at all from last quarter? And then at the start of the year, I think you had said the pandemic was sort of a 15% to 20% overall impact to the guide. Just curious to know if those figures would kind of roughly hold at this point?
Kristina Salen: I think we haven't released the number of total events we expect for 2021 specifically. We have said that our guidance does include large-scale international events as well. I can tell you that we're forecasting the level of events for the second half of 2021 to be at or below what we had in the second half of 2019. Right now, we have about 35 events on sale through the end of September. And as Nick mentioned, we'll be announcing the remainder of our second half 2021 schedule shortly, and those events will go on sale…
David Karnovsky: And anything on the pandemic impact? Just at the beginning of the year, you had kind of called out 15% to 20% impact with regards to the pandemic. Just curious if you have an update on those figures or if that is still roughly in the ballpark?
Kristina Salen: I think that's roughly in the ballpark. And again, that was based on 2019, making assumptions about what the expectation would have been from 2019 into 2020. So it's purely a forecasted number as opposed to an actual number. But yes, we haven't changed what we thought the impact in 2020 was.
Operator: We'll take our next question from Curry Baker with Guggenheim Securities.
Curry Baker: So on sponsorship, I was wondering if you guys could maybe help us size what you see the opportunity is over the next two to three years. I don't know if you can put brackets around it, but maybe help us think the areas for increased monetization on sponsorship and maybe the ultimate opportunity there. That would be great.
Stephanie Levesque: It's tough to give projections in terms of just much we believe this business can grow. But we do believe that there is significant upside. We have already seen it tracking. And we have the opportunity now to really fully engage with Peacock across sponsorship as more opportunities open up later in the year and also across digital and social. There's a ton of opportunities for us from a content production standpoint and really to bring our sales and sponsorship partners throughout all of our lines of business. So we do look to see a continued positive trend.
Curry Baker: And then one quick one, this might be for Nick. Is there any update on the MENA TV rights deal? Are you guys still in conversations or just anything new to add there?
Nick Khan: And by the way, Curry, I think last time it was a four pound compound question, which I think we answered completely. So we appreciate you breaking them up the way you did this time.
Curry Baker: Getting more concise, yes
Nick Khan: On the MENA rights, Vince, myself, others are still deep into it. We remain optimistic on the entire situation and hope to have some good news shortly.
Operator: We'll take our next question from Eric Handler with MKM Partners.
Eric Handler: Nick, we'll start with you. Wondering if you could talk a little bit more about your out of ring TV production plans. Specifically, as you move forward with this, do you have a goal of how many hours you're looking to create with different programs? Are you preselling these so you don't have any financial risk and are you looking at these as profit centers rather than just promotional tools?
Nick Khan: Yes to all of that at the end, meaning profit center, promotional vehicle, brand extension, I think we see scripted and unscripted television as all of that. Steph went through the ratings on the A&E eight part series and on the memorabilia show there, look for more of that from us. The unscripted telling of the stories of many WWE superstars as we referenced with the scripted series, the dramatic series based on part of Vince McMahon's life, look for more from us in the scripted space that we're already out to the marketplace with and hopefully, we'll have good news on soon.
Eric Handler: And then, Kristina, just a question for you on your new headquarters move. How are you looking at the CapEx cadence as you look into 2022? When does that start to decline? And then the previous plan was to sell the existing headquarters and the off-site production facility that you had in Stanford. Is that still a goal and how much could that offset some of the CapEx increase?
Kristina Salen: Just to add a little bit to Nick's comments and to put a finer point on it, our expectation is not to take financial risk in the way that a studio would, or a television studio would, or a movie studio would with regard to production expenses on our out-of-ring content. With regard to HQ, I think a great way to look at it is, our budget has not changed, just the pacing of it has changed. So we've pulled forward expenses that we thought we would be making in 2022. We're making them in 2021, primarily because of supply chain. I'm sure it's not lost to anyone on the call that supply chains are a bit backed up. And so in order to meet our time line, we need to order some material sooner so that they arrive on time when we need them in 2022. We anticipate right now moving into our new HQ in fourth quarter of '22. We've already broken ground in June. We're very excited for that. And so that means that as we move through '22, we'll see CapEx start to taper down and also in part because we've pulled forward some of that ‘22 million CapEx into '21. And with regard to your question, yes, we're very fortunate to own three buildings here in Stanford that house our corporate headquarters, our television production and our digital production studios. And our anticipation is, once we've moved in to sell these buildings and there is a tremendous amount of demand for Stanford commercial real estate. So we're confident about our ability to sell those buildings in the future.
Operator: We'll take our next question from Brandon Ross with LightShed Partners.
Brandon Ross: First, just kind of a follow-up to Curry's question on sponsorship. So I just wanted to drill down on the timing of when you expect to start to see real growth. I think in Q2, sponsorship went down very slightly compared to 2019. With the return to touring, should we see that step function up right away or does that kind of come in time as you explore new opportunities? And then I have a follow-up.
Stephanie Levesque: So in terms of sales and sponsorship, the return to live events absolutely increases the excitement and energy with our fans, the opportunity to engage. Of course, there's the financial upside as well. But that has not stopped us from growing the sales and sponsorship business, again, up 43% year-over-year. And yes, that is due to a COVID time period. But we've seen significant increases across our business, and we expect to continue to see that growth throughout the end of the year and moving forward, obviously.
Brandon Ross: And then, I guess one for Vince. AEW seems to be making some significant investments in their roster and had gained in viewership, especially in the demo. I was wondering how you currently view them as a competitor? And do you feel you need to counter their investment with additional investment in your own roster since you could eventually be competing for media rights, or could it be a situation like we saw back in the day where rising tides lift all boats?
Vince McMahon: Well, it's certainly not a situation or a rising tide, because that was when Ted Turner was coming after us with all of Time Warner's assets as well, that was a different situation. AEW is where they are. I don't really know what their plans are, I only know what our plans are. I don't consider them competition in a way I would consider WCW back in the day. Not anywhere near close to that. And I'm not so sure what their investments are as far as their talent is concerned, but perhaps we can give them some more.
Nick Khan: Brandon, I can add one thing to that, if that's okay. I think the way we look at these situations, it's sort of like a horse race where the horse has blinders on. We're looking straight ahead at our lane and making sure that we stay in the front of the pack. At the same time, everything is our competition. So someone had a line a couple of weeks ago that we all chuckled about and agreed with, sleep is our competition. If it was up to us, people could be up 24 hours a day watching content from different content providers, hopefully, including ours. So we don't look at any organization particularly as a competition, yet we see everything as competitive with what we're trying to do in terms of eyeballs.
Brandon Ross: I think it was Reed Hastings who said that Netflix competed with sleep.
Operator: We'll take our next question from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Kristina, I wanted to come back to your comments about TV production efficiencies, which have been, I think, better than expected for a number of quarters. And you also talked about live event profitability being strong looking forward compared to, say, 2019. When you put all that together, it seems like the expense outlook is both good and getting more predictable. And so I guess I had a couple of questions along those lines. One is, is the lack of an increase in full year guidance around uncertainty largely a revenue comment or are there still questions about expenses that you guys are thinking through? And then number two, longer term, as we try to think about earnings power for the company, are you now at a point where when the revenues rebase back to where they were, you can sort of talk about margins relative to what we saw in prior periods, because you've got now a little more confidence and visibility into the company's ability to produce at a certain cost level, et cetera. I’d love any context you could share could share on that.
Kristina Salen: I think starting with the last part, first about our long-term earnings power. As I mentioned in my comments, as we exit the year, as we move into the fourth quarter, we will see the full power, so to speak, of the efficiencies that we've gained in television production expenses on a year-over-year basis, and that we expect to continue as we move into 2022. We are also, as we mentioned, as we look at live touring, live event touring, we are at levels, expense-wise that are similar to 2019. Again, some exiting the year, if we were able to exit the year at that level, it will set us up very well for earnings power in '22. I think from a guidance perspective, I think it's really just about where we are in this -- I don't want to say post pandemic, because it doesn't necessarily feel fully post, but where we are right now in terms of pandemic recovery. As Nick related walking through each of our live events that we've held, live events with ticketed fans, the performance has been ahead of our expectations. We are so excited with the ticket sales, the merchandise sales. And we're very hopeful that they will continue as we move through the rest of the year. We haven't yet announced the rest of our 2021 schedule. When those events go on sale and we look at the general pandemic recovery environment, we'll have a much better sense of what third quarter and fourth quarter will look like. So it just feels right at this moment where we are in pandemic recovery fits and starts that we want to see a few more months of activity.
Operator: We'll take our next question from Steven Cahall with Wells Fargo.
Steven Cahall: Kristina, one for you and then a bigger picture one for Nick. Maybe first, Kristina, just to follow up on Ben's question. So as we're thinking about media OpEx, I know you've got a lot of costs coming back as you get to normal but then you've got this reduction in the per episode cost. So sequentially, as we kind of move to the back of the year, how should we think about media OpEx over that period? And then, Nick, maybe one difference with the other sports leagues in the rights is just the sheer number of hours that they often provide the networks between the live games and the shoulder programming and the highlights in the post season and what that means for advertisers, it's just a lot of tonnage. So how do you think about positioning your content to make sure that you provide enough volume to networks to kind of go for those big price ups like you're sort of alluding to? And you talked about some of the scripted content but should we just think about the portfolio as adding hours over time?
Kristina Salen: I'll start with the TV and media OpEx as we move through the year. The reorg that we mentioned in our comments and in our press release was really about creating a unified content strategy and finding even more efficiencies in our content production. So we previously had three organizations, TV production, digital content production and studio production. And there are a decent amount of redundancies in terms of activity and expenditures across the three. We only made those changes at the end of May, so really deep into the second quarter. So we'll start to see those efficiencies in the third quarter and then really start to hum in the fourth quarter. So I'm optimistic about continued sequential opportunity in what I would call media production OpEx. As it pertains to the per-episode cost that I've referenced in the past, as when we look at RAW and SmackDown, for example, you're now, as I mentioned, at or very close to 2019 level. So while I expect there to be continued sequential improvement as we move through the year because of the efficiencies in combining these three organizations, there was a step function between the first quarter and second quarter that's not as visible yet, and it will be even more visible in the third and very visible in the fourth quarter on a per episode basis, on a year-over-year comparison perspective. Does that answer your question, Steve?
Steven Cahall: It does.
Nick Khan: I can jump in on the second part. In terms of the tonnage, keep in mind what you already know, Steven, we go 52 weeks a year, at least seven hours a week on our pay-per-view weeks, add in additional three to five hours there. And by the way, we're always desirous of developing new content in ring and out of ring, scripted, unscripted, as we talked about and as you asked about. So we think the tonnage requirement, especially with the consistency of the 52 week schedule, gives us, I think, just off the top of my head, it's almost an exclusive position in the marketplace. No other sports entertainment property can go like that. We do. I'd like to think we do it well. And certainly, there's more of it to come.
Operator: We'll take our next question from David Joyce with Barclays.
David Joyce: A couple for me, please. First, in thinking about the global opportunity set, just recently, it was announced that Univision's investing in CabateGlobal. So I was wondering -- what you're seeing in terms of combat sports evolution? Do you think there will be mergers of various sports or outright acquisitions or joint ventures, or would just be a way to maybe have some crossover events to expand your fan exposure and engagement? And then separately, it was announced today that Peacock will be available on the Sky platform for free in Europe. I was just wondering, are you able to tag along with that yet or do you still have some other agreements that have to expire first in those regions?
Nick Khan: I think I can address those for you. A couple of things on it. In terms of Univision and the Wade Davis Group buying a part of Combate. Wade has shown a disposition to MMA. We really think he was the champion of Viacom buying Bellator when they did that and he was at Viacom. So I'm not sure that we see any consolidation in the MMA space. I'm sure the UFC guys like their market share position, Viacom is putting what it's putting into Bellator. And Combate, we just talked about, it sort of feels like the business model that Vince and company at that time build out let's have one big global territory in "wrestling" at that time. The WWE is the model that ultimately the Fertitas and Dana White follow, whether it was intentional or not intentional, to develop one global MMA product in the UFC. You've not seen boxing do that yet. It's still splintered with different factions all over the place. Eventually somebody hopefully comes along and does it there. But I'm not sure that we're going to see any consolidation in that space. And the second part of the question, just back to the Univision part. Look, we like any new entrant into the combat space that's well financed. That's a good thing we think for everybody. In the MMA space, all of a sudden, it goes from to 2/3 to 3/4. In the boxing space, again, all over the map there. In our space, we think, again, we're uniquely positioned with what has been built already and what we're going to continue to build. Last part of it, the Peacock international situation. It so happens that we're at a good moment in time that all or almost all of the US media conglomerates are looking to go internationally, some globally soon and fast. So with a turnkey existing product, we obviously already have substantial business with Comcast. But with all of these entities, again, a turnkey product, if they want shows in Germany, they don't have to send production trucks over there and license out the rights to something with us again, you do a deal with us and it comes automatically. So we're optimistic on it. We're in the middle of a number of things there and let's see what we have in the next couple of months.
Operator: We'll take our next question from Alan Gould with Loop Capital.
Alan Gould: Two, one for Kristina and one for Nick. Kristina, can you just confirm that the guidance assumes it will be one large-scale format event this year?
Kristina Salen: Our guidance does assume that there will be a large scale international event.
Alan Gould: And then for Nick. Strategically, what do you see as the next big step function increase in revenue and value? I mean, the big one, obviously, was the renegotiation of the US TV rights a few years ago. Is the next big move when you start doing combined linear digital deals, is it sponsorship, or what strategically do you see as the next big opportunity?
Nick Khan: International media rights, sales and sponsorship as you identified, scripted and unscripted television as we've talked about.
Michael Weitz: Thanks, everyone. We appreciate you listening to the call today. If you have any questions, as always, please don't hesitate to contact me, Michael Weitz or Michael Guido, at WWE Headquarters. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.